Operator: Good day, ladies and gentlemen and thank you for standing by. Welcome to the First Merchants Corporation Second Quarter Earnings Conference Call.  Before we begin, management would like to remind you that today's call contains forward-looking statements. With respect to the future performance and financial condition of First Merchants Corporation that involve risks and uncertainties. For further information -- I'm sorry, further information is contained within the press release, which we encourage you to review. Additionally, management may refer to non-GAAP measures, which are intended to supplement, but not substitute for the most directly comparable GAAP measures. The press release available on the website contains financial and other quantitative information to be discussed today as well as a reconciliation of GAAP to non-GAAP measures. At this time, I would like to turn the conference over to Mr. Mark Hardwick, CEO. Thank you. Sir, please begin.
Mark Hardwick: Good morning and welcome to the First Merchants' second quarter 2022 conference call. Howard, thank you for the introduction and for covering the forward-looking statement on Page 2. We released our earnings today at approximately 8:00 AM Eastern. Hopefully, you have the slide presentation. But if you don't, you can access those slides by following the link on the second page of our earnings release. On Page 3, you will see today's presenters and our bios to include President, Mike Stewart; Chief Credit Officer, John Martin; and Chief Financial Officer, Michele Kawiecki. Page 4 is a snapshot of the First Merchants geographic footprint and some relevant financial highlights for your review. Given the close of Level One Bancorp on April 1, to start off our second quarter, we have updated the banking center map and included our new asset totals of nearly $18 billion. We also continue to receive meaningful awards for customer service, leadership and performance from publications like Forbes, Newsweek, S&P and comparable and we've updated a few of those for you at the bottom of the slide. Now if you would turn to Slide 5. Reported earnings per share for the quarter totaled $0.63 compared to linked Q1 2022 total of $0.91. When adjusted for PPP income and Level One acquisition expenses, our Q2 2022 earnings per share totaled $1.01, an increase of $0.13 per share or 15% over the linked Q1 2022's adjusted total of $0.88. Growth in loans of 20% and margin improvements of 22 basis points, account for most of our EPS improvements linked quarter-over-quarter and that 22 basis points is when adjusted for fair value and also PPP, which Michele will cover in a few moments. Our system integration of Level One is scheduled for the third quarter and the teams are working diligently to ensure a successful conversion. We also continue to streamline the branch network as evidenced by three additional consolidations in Q2 of 2022 and another announced two consolidations planned for the third quarter of this year. The year-to-date earnings per share, story of similar to our quarterly results with similar PPP and M&A related adjustments that required to see our core performance. When adjusted, our year-to-date 2022 earnings per share totaled $1.89 and that's 13% better than our 2021 results of $1.67. The ratios on Page 5, are not adjusted for one-time expenses, but they are -- they obviously have a negative impact based on the consolidation rules that we had to apply to Level One. Michele will highlight a few adjusted ratios like pre-tax, pre-provision earnings and the efficiency ratio later in the materials. Mike Stewart, will now provide color on our lines of business and Level One, before Michele and John review our financial data and credit statistics.
Mike Stewart: Thank you, Mark and good morning to all. As you look at the next two slides, I'll provide an update on our line of business results and their contributions within the quarter. Since our business strategy remains unchanged, I want to focus on Page 7, titled business highlights. The top of the page offers a breakdown of the core loan growth by our business units, it was another solid quarter of active engagements with our clients and prospects that delivered an annualized growth rate of more than 20% excluding the PPP loans and the day one balances of Level One. The growth rate was nearly 14% for the first 6 months of 2022. The commercial segment remains the growth engine for the bank's balance sheet, with loans now exceeding $8.9 billion within this segment. We added $1.1 billion of Level One commercial loans as of April 1 and the First Merchants team generated $360 million of organic loan growth this year. Within the commercial line of business, the Commercial Industrial segment; C&I, is the largest component of the total balances along with the year-to-date and second quarter growth. John Martin has metrics, he will review later that highlights the C&I growth exceeding $150 million during the second quarter. Like I've mentioned before, our commercial team has remained engaged and winning new clients, taking market share, along with providing additional senior debt and treasury services to our clients, across all the geographic markets you see represented on the map. Within those geographies, businesses continue to expand plant and equipment to meet growing demand. These customers have effectively managed their income statements and while inflationary pressures are present, price increases and expense management practices have kept margin and coverage ratios stable. Their balance sheets have also remained strong, when looking at working capital, line of credit availability and their leverage profile. Line of credit utilization rates remain constant from the first quarter, roughly 45%. Our revolver commitments have increased during this period of time, due to the inflationary pressure pushing up values of working capital assets. Working capital cycles are not necessarily slower than prior periods, as supply chain issues have not been further constrained. Succession planning events within the ownership of middle market companies continue to be a driver for our sponsor finance team or through ESOP transactions. We have maintained a consistent and disciplined approach towards underwriting within this segment. The growth comes from current relationships and from the extended geographic reach we added through the investment of new bankers in 2021. The investment real estate footings have been choppy in the past four quarters, but grew 3% in the current quarter. That growth was attributed to new production and the construction loan advances, primarily within the multifamily asset class. Based on the historically low cap rates and liquidity in the secondary market, our real estate clients continue to take advantage of monetizing product, projects for liquidity and taking projects to the secondary market. We expect the investment in real estate balances to remain choppy, the balance of the year. Our underwriting approach has not changed, remained consistent with the primary asset classes that we focus on, which is multifamily industrial warehouse, student housing and self-storage. Overall, businesses have deployed their PPP liquidity, therefore, commercial deposit balances have reduced as noted on the bottom chart. An annualized reduction of 5%. Post close of the Level One acquisition, we did reduce their depository pricing structure to align with ours. At the end of June, the aggregate commercial loan pipeline remains consistent from the prior quarter. The C&I pipeline has strengthened and the IRE pipeline softened. Moving on to the consumer segment that nearly 7% annualized growth, the loan growth was a nice reversal from prior quarters after adjusting for the Level One closing. The quarterly increases can be attributed to our HELOC and Small Business products. Both segments experienced increasing application volumes, utilization rates remain consistent and our underwriting approach has remained unchanged. At the end of June, the consumer loan pipeline remains strong, up over 15% from a year ago. Deposit balances declined for the quarter within the consumer segment, as shown on the bottom of the page. We did bring the Level One depository pricing in line with the rest of First Merchants and most of the decline in the quarter was attributed to the strategic decision. The rest of the consumer network experienced the regular, seasonal depository fluctuations, post-tax season, therefore about a 2% decline. The consumer team continue to gain new accounts from both in branch and digital online activities. Our investment last year in a digital account opening process hit a high point last month, with over 15% of new consumer DDA has been opened through the new digital channel. Let's move on to the growth in the mortgage portfolio. With the Close the Level One, our on-balance sheet mortgages have exceeded $1.5 billion and grew organically in the quarter by $225 million. The driver of this increase comes from continued strength in purchase volumes, with more of our clients choosing our on-balance sheet variable rate pricing options. Given alternative in returns within the investment portfolio, the mortgage asset class offers better risk return. Our underwriting standards remain unchanged prime borrowers, with the increase in 15 and 30 year fixed rates, our clients have chosen are short-term or variable-rate mortgage solutions. Michele will review the non-interest income to tell, were mortgage gain on sales remain muted as refinancing volumes have stayed at historical levels -- low levels. The pipeline for our mortgage team ended the quarter flat, when adjusting for the Level One team. Purchase and rehab volumes are nearly 60% of the current pipeline, up from 30% a year ago, reinforcing the macro slowdown in refinancing volumes. Overall, the economic and business climate across our markets is stable. We continue to see the resiliency and management teams of the companies we serve. Like I stated last quarter, they have solid business plans, they have solid balance sheets and they are well positioned to effectively navigate inflationary pressures, supply chain and labor issues. Our team remains responsive and ready to support our client's needs, coupled with the current economic environment, we should continue to achieve our high single-digit loan growth objectives into the third quarter. A few comments about our new Level One teammates and the markets they serve across South-East Michigan and Grand Rapids. I continue to spend time in their markets with their teams and with their clients. And I remain impressed and optimistic that there is strong growth culture and demonstrated track record of winning will continue. As a reminder from last call, Terri Cable has moved to Farmington Hills to lead Michigan's region and build on the synergies between Level One and our existing Michigan franchise in Monroe. Greg Wernette, who led Level One's commercial banking effort, will continue his leadership role as Region President of that geography and work directly with Terri. The commercial team is now preparing for the August integration date that Mark referenced earlier. As of July 1, the mortgage business has been fully integrated and now operating under a common platform. Tim Mackay, who was named President of the mortgage line of business, along with Brad Wise, Deborah Wright Nielsen, Michele Kirsten and Dan Evans, did a terrific job of leading the integration effort and the mortgage team now operates under the First Merchants banner. The consumer team is deep into their training regimens in preparation of the August integration. Rene Molino, will continue as the market leader of the 17 banking centers. Her team will get the support of over 60 First Merchants consumer banking professionals, who will be on site within the banking centers for up to two weeks in support of the change of them. The collective organizations, we have a lot of work to do between now and integrations. But that said, we have made steady progress and our project status is green. I will now turn the call over to Michele, who will provide a complete review of the quarter results. And John Martin, can share the soundness of our portfolio. Michele?
Michele Kawiecki: Thanks, Mike. My comments will begin on Slide 8, covering second quarter results. You can see our balance sheet growth on lines one through five. Total loans on line two, which Mike has covered in detail in his remarks, increased over $2 billion during the quarter with Level One contributing $1.6 billion through the acquisition, coupled with organic loan growth of $468 million. This was offset by PPP loan forgiveness of $59 million. Deposits increased $1.7 billion during the quarter, which included $1.9 billion from the Level One acquisition reflecting a decline in deposit balances of $266 million. Investments on line three, increased to $140 million due to the Level One acquisition. Liquidity management has normalized and we were able to use excess liquidity to fund loan growth this quarter. This was reflected in our loan to deposit ratio, which was 78.3% this quarter compared to 74.9% in the prior year. Mark covered earnings per share for the quarter, which was reduced by CECL Day one provision, which you can see on line 12 of $16.8 million and the elevated level of non-interest expense on line 14, which included $12.5 million of acquisition costs. Our stated efficiency ratio was 58.45%, but was a low 50.75% excluding the acquisition cost, reflecting strong operating leverage. Like many of our peers, we experienced further decline in the tangible common equity ratio, which you see on line six. Along with the tangible book value per share on line 26, due to changes in the unrealized gain loss on available for sale securities. These metrics were also impacted by the cash consideration of $79 million used in the acquisition of Level One. On Slide 9 that shows our year-to-date financial results. Mark covered operating earnings per share with -- which was an increase of 13%, which excluded PPP fee income, which totaled $19 million in the year-to-date 2021 results and $2.8 million in year-to-date 2022 results. It also excluded the total merger cost of $12.5 million I just mentioned. Pretax pre-provision earnings totaled $128.2 million year-to-date, an increase of $3.9 million over prior year. Return -- PPP return on assets was 1.54% and PPP return on equity was 13.10%. Slide 10 shows highlights of our investment portfolio. On the bottom right, you can see we had a net unrealized loss on the mark-to-market of the available for sale securities portfolio of $246.1 million compared to last quarter's loss of $101.3 million. As of today, this loss is recovered by $50 million reflecting its temporary nature. The top right graph shows the trend in the portfolio yield. The yield on the portfolio increased 8 basis points during the quarter and the portfolio contributed $27.6 million in income. Effective duration is currently at 6.4 years. As a reminder, we tend to take a bit more duration in our investment portfolio than peers, because much of our loan portfolio is variable. Slide 11 highlights our loan portfolio. In the bottom-left corner, you will see the stated second quarter loan yield increased 36 basis points to 4.09% from last quarter's yield of 3.73%. Excluding the impact of PPP loans and fair value accretion, loan yield was 3.96%. Yield on new and renewed loans increased significantly from 3.22% last quarter to 3.87% this quarter, an increase of 65 basis points. On the bottom right, you will see $7.4 billion of loans were 65% of our portfolio are variable rate with 44% of the portfolio repricing in one month and 53% of our portfolio repricing in three months. We grew out of most all of our loan floors with the Fed's 50 basis point increase in May, so the asset sensitivity of our balance sheet created a meaningful increase in net interest income this quarter and we'll continue to do so given the full of curve. Slide 12 shows the details related to our allowance for credit losses on loans. On the bottom of the slide is a roll forward of our allowance balance. With the closing of the Level One Bank acquisition, we recorded a CECL Day one allowance for the purchased credit deteriorated loans in the amount of $16.6 million, as well as a CECL Day one allowance for non-purchased credit deteriorated loans that was recorded through provision expense in the amount of $14 million. Also recorded through provision expense this quarter was $2.8 million of reserve for Level One's unfunded commitments, bringing total provision expense for the quarter of $16.8 million. Also during the first half of the year, we had net recoveries of 300,000, which brought the ending allowance for credit losses on loans to a robust $226.3 million. The coverage ratio trend is shown in the graph on the top left. Our coverage ratio at the end of Q2 is 1.98% down from 2.09% from the prior quarter, mainly due to strong loan growth. This reserve coupled with the remaining fair value accretion of $37.3 million provides excellent protection as we head into an uncertain economic environment. Now I will move to Slide 13. The total cost of deposits on the bottom left chart shows deposit cost increased this quarter by 10 basis points up to a total of 23 basis points. This increase reflected deposit pricing pressure that was present in the municipal deposit space. Our cost of consumer deposits continues to make -- remain low, although it's possible we could see some competition in pricing for consumer deposits increase in the third quarter and some of our markets. The average consumer DDA balance continues to be elevated from pre-pandemic levels, although we did see it begin to decline in May. Slide 14 shows the trending of our net interest margin. Line one shows net interest income on a fully tax equivalent basis of $134.8 million. When you back out non-core interest income items, such as fair value accretion on line two and the impact of PPP loans shown on line three, our core net interest income totaled $130.7 million, which is shown on line four. Compared to the prior quarter total of $105.1 million, the increase in core net interest income was $25.6 million, $18.3 million of which was contributed from the loan and deposit portfolios of Level One. Stated net interest margin on line seven, totaled 3.28% for the quarter. Adjusting for the fair value accretion and the impact of PPP loans, brings us to a core net interest margin of 3.19%, which is shown on line 10, an increase of 22 basis points from last quarter's NIM of 2.97%, reflecting the asset sensitivity of our balance sheet. We expect to see meaningful increases each quarter going forward, as the Fed continues to increase rates. On Slide-15. Non-interest income totaled $28.3 million for the quarter with total customer related fees of $25.8 million, an increase of $2.8 million reflecting the addition of Level One Bank fees, which are primarily in service charges on deposits and gain on the sale of mortgage loans. Wealth management fees increased 300,000 and while investment management fees are under pressure due to the decline in asset values, this was offset by the seasonal collection of tax prep fees, along with fees from a state settlement. Moving to Slide 16. Total expenses for the quarter totaled $97.3 million, which was elevated due to acquisition costs incurred during the quarter of $12.5 million, $10 million of those acquisition costs were one-time charges, $3 million of which was for severance and retention bonuses, reflected in salaries and benefits and the remainder was mostly contract termination charges and advisory fees, which are recorded in the professional and other outside services line in the income statement and reflected in the other category on this chart. Excluding these acquisition costs, our core expenses of approximately $85 million reflecting the additional of Level One. Core expenses were well managed this quarter with an increase seen in salaries, incentives of $1.5 million. Slide 17 shows our capital ratios. I previously mentioned, the decline in the tangible common equity ratio due to AOCI changes and the acquisition of Level One. Although this was a meaningful decline, our strong earnings and increasing net interest income will create capital, strengthening this ratio going forward. Additionally, given we have $226 million in the allowance for credit losses, which adds to our balance sheet safety and soundness, we feel comfortable with our current capital position. Overall, our financial results reflect strong fundamentals for the quarter and we are pleased with the results. That concludes my remarks and I will now turn it over to our Chief Credit Officer, John Martin to discuss asset quality.
John Martin: Thanks, Michele and good afternoon. My remarks start on Slide 18, where I'll highlight the loan portfolio including segmentation growth and industry concentration, review asset quality and the non-performing asset, roll forward before ending with a few high-level comments about the current environment. So turning to Slide 18. As I've highlighted on prior calls, the loan portfolio is diversified and commercially oriented with concentrations, consistent with segments of the economy found in our geographies. In the quarter, ex-quarter -- excluding the $59 million of PPP paydowns, the loan portfolio grew $468 million or 20% annualized. We've experienced broad growth in Commercial and Industrial loans including both the regional C&I and sponsor finance businesses, as well as construction and public finance. Also this quarter we had robust residential mortgage portfolio growth, customers were attracted to adjustable rate products with rising interest rates, while this resulted in a lower gain on sales mentioned previously, it did have the benefit of additional on balance sheet loan growth. With respect to the Level One portfolio through our initial credit due diligence process and subsequent reviews, we have -- we continue to gain a deeper understanding of key relationships in the credit underwriting. The loan book is similar to the existing First Merchants commercially oriented portfolio and also added meaningful mortgage footings. We have folded the commercial portfolio into our regular quarterly asset quality review process and continue to refine our credit rating. So turning to Slide 19. This slide highlights our asset quality trends and position. We continue to have a favorable asset quality profile with non-accrual loans in line one, up $3.3 million even after adding $9.4 million of acquired Level One non-accrual loans. Other real estate increased by $200,000 and 90-days past due loans were $600,000 down from $2.1 million last quarter. This resulted in NPA's and 90-days past due, up $2.1 million and as a percentage of loans and ORE of 0.47%, dropping down to classified loans in line seven or loans with a well-defined weakness with the addition of $73.5 million of classified loans we ended the -- of Level One classified loans. We ended the quarter at 1.68% of loans. While this does represent a modest increase, level continues to remain at historic lows. Rounding out the slide, net charge-offs for the quarter were roughly $300 million -- $300,000 or one basis point and a year-to-date net recovery of $300,000. And finishing up on Slide 20. I provided the non-performing asset roll forward, which reconciles the changes in NPA's. Starting in the far right column, which excludes Level One. We started the quarter with $51.2 million in NPA's and 90-days past due loans and added $3.7 million in new non-accruals and resolved $8.9 million in existing non-accruals. With $500 -- moving to ORE, $500,000 in gross charge-offs of $1.4 million and non-accruals declined $6.1 million in the quarter. These changes along with ORE sales and write-downs on lines eight, nine, as well as a decrease in 90-days past due, resulted in a $7.9 million NPA and 90-day past due decline on line 13. $243.3 million before adding an additional $10 million from the Level One portfolio. In summary, our asset quality position is strong and remained stable. We continue to on-board the Level One team into our existing system-wide asset quality and portfolio monitoring process. And finally, we have begun and continue to work with borrowers who are navigating the effects of higher interest rates, supply chain issues and higher commodity prices. None of these challenges are unique to First Merchants or its customers and as I've mentioned previously, I believe our current asset quality position allowance, positions us well to work through individual issues or asset quality concerns as there might arise. Thank you for your attention, I'll turn the call back over to Mark.
Mark Hardwick: Well. Thanks, team. As you can tell, we always enjoy sharing our performance through detailed slides, which obviously this quarter it was necessary. It was a really high-level of transparency, we hope that you can see the positive story that we see every day. But in a quarter where you have -- where there's a lot of M&A activity and some of the PPP impacts, it does take some time to slowdown and make sure we're sharing it in detail. Slide 21 highlights our track record of performance over a number of years and Slide 22 does the same thing just sharing the  in our asset growth, including organic and M&A activities to include Level One, which as we mentioned closed April 1. So Slide 23, is a reminder of our vision, our mission, the -- our team statements. Slide 23, is a reminder of our vision, our mission, the -- our team statements and the strategic imperatives of the guide, our decision-making. I'm confident that when you look at our results and our activities, they are aligned with our brand focus, cultural transformation, organic growth, our digital transformation, our top quartile performance -- financial performance and leveraging M&A as a core competency. And I hope when you hear this story, you feel like it is a true stakeholder centric business model that we believe over time produces better returns. Thanks for your attention and your investment in First Merchants and Howard at this time, we are happy to take questions.
Operator:  Our first question or comment comes from the line of Brian  from  Group. Your line is open.
Unidentified Analyst: I'm curious, when you think about the broader landscape, you're using them pretty healthy loan growth, I mean Level One gives you a lot of runway in that Michigan area. Are there any areas that you're looking at differently now under the assumption that potentially we could be more of a recessionary environment like other areas that you might be leaning into or pulling back on in terms of overall loan growth in the categories within the loan portfolio?
Mark Hardwick: I guess between Mike, Stewart and John and I, we can address that issue with -- our underwriting standards are essentially the same, we're clearly looking at areas trying to identify where there may be inflated prices. It's just being as cautious as possible, but I feel like to what we're finding is that the core strategy that we've been executing on for a number of years is working effectively and so far, we haven't really going in to try to make any real changes to our underwriting standards.
John Martin: Am I just to add, this is John. While with rising rates, it may make individual projects may be less attractive. I'd agree with Mark, I mean, our underwriting standards are based on sound underwriting and sound business approach to the business of lending. So I don't see, there hasn't been any change in our policies necessarily as a result of any impending recession.
Unidentified Analyst: And kind of thinking more strategically, Mark, you're probably one of the top testily terms of corporate managers and stewards of capital. When you think over the longer term, with the pending integration potential cost savings, hopefully flowing through to the bottom line. Do you think that there could be deployed in anything strategically that would fetch you guys up, not only for the next year, but more so in the next decade of growth on -- where specifically where you think you could potentially invest more in the longer term?
Mark Hardwick: The strategic imperatives I mentioned are really matter to me, they matter to our team. And -- I would say the investment of capital that continues to flow into our business is focused on our human capital, our human assets, our people and to the digital platforms that we think are transforming the business, where our physical locations and even the expertise and talent that we have are focus on advice and consultation. And we're trying to digitize all of the day to day just transactional activities as much as possible. Both from a user and a customer experience as well as in the back office. And I'm just trying to make sure that our most valuable asset, our employees are focused on value add activities that truly matter to the customer. So we're -- that has been our focus, it's going to continue to be our focus and we do have a kind of a digital roadmap and we're even assessing more extensively where we may be able to find some additional process automation.
Unidentified Analyst: I appreciate that. Great,  first straight full quarter of -- kind of the pro forma. Congrats on Q2 and moving forward, latter half of the year.
Operator: Thank you. Our next question or comment comes from the line of Daniel Tamayo from Raymond James.
Daniel Tamayo: Just a second.
Operator: Mr. Tamayo. Your line is open.
Daniel Tamayo: Good morning everyone, thanks for taking my question. I think first, just like to start on the margin. A lot of expansion in the quarter, you've got puts and takes, especially with the acquisition and the repricing of the deposits there. So I'm just curious Michele on your thoughts on, how big the expansion in the back half of the year that you think we could see?
Michele Kawiecki: Yes, good morning, Daniel. We think we could see another 20 basis point lift from margin through the end of the year from rate increases. Now the -- a couple of assumptions that are important in that is, that suggestion need a static balance sheet, so no growth. I mean obviously will have growth portfolio which will add more margin. And the other thing is the deposit betas that we're using in that estimate are 35%, which is probably really conservative estimate, when we are expecting some deposit competition to pick up. But I still feel that we will probably end up with the deposit beta that might be lower than that, but that is what we're modeling currently.
Daniel Tamayo: Okay, terrific. And I know this is a little bit a ways away. But I'm just curious on your high level thoughts about what do you think happens to the margin, assuming we get a stabilization in rates kind of towards the end of the year? It seems to be diverging opinions on this, in terms of whether not we see continued expansion or kind of peak margin in the fourth quarter or first quarter of next year in that scenario?
Michele Kawiecki: I think we will still see expansion probably even in the first quarter of '23, just based on the lag in deposit pricing and then also even just some of the new pricing on our loan book and then maybe it will stabilize after that.
Daniel Tamayo: Okay, I appreciate that. And maybe just one last one on capital. So you mentioned being very comfortable with capital and I understand that given the ACL and regulatory capital ratios. But with the TCE down just over 7%, does that impact you're -- the way you look at repurchases and M&A? I mean, do you want to get back to 9% before you consider those or do you think you can do both at the same time?
John Martin: Yes, it's a great question. I think 9% as I've stated target, maybe a little higher -- high, we're doing a lot of capital analysis right now, because we have sub debt that matures next year. And just looking at what is the optimal use of hybrids, but in terms of share repurchase, we're definitely on the sidelines at this point. If we were to find an acquisition late '23, early '24 somewhere in that ballpark, it would probably need to be with more stock, which does put a little additional pressure on some of the EPS accretion analysis that we like to see. So now our focus, I'm going to tell you right now is about delivering results based on the current acquisition and we're really excited about finishing '22 and delivering on all of 2023 with the new geography and the new balance sheet that we have. So I don't want to make M&A a priority or at -- you asked the question, so I'm just sharing some of our thoughts. But it's -- we're in a great place to perform over the next 18 months or so and we're not going to mess that up. That's where the priority is.
Operator: Thank you. Our next question or comment comes from the line of Terry McEvoy from Stephens. Mr. McEvoy, your line is open.
Terry McEvoy: Maybe a couple of questions on level. Could you make some comment, if possible and client and employee retention? And then as it relates to the cost savings from the transaction, where you are right now in terms of achieving the cost savings and when do you expect to hit that full run rate?
Mike Stewart: This is Mike Stewart. I'll talk a little bit about the Level One client and employee retention. Very good at the macro level, employee base across the spectrum has been very consistent, very patient and very willing to work with us through the change event. They've got a strong belief system that, First Merchants can deliver on additional capabilities and they are looking forward to adding that to their winning tradition. So I feel good about the people, really, really low turnover. Moreover, we've been able to utilize some of the staff that might not otherwise have stayed the company to fill open positions in our bank. So it's been a really good transition that's part of the client side also very stable. I -- when I made those comments about how optimistic I get around the Greater Michigan marketplace, Detroit marketplace, it comes from the idea that or the fact that I see their existing client already utilizing First Merchants for larger loans, additional products and services. So those clients are actually in a buying mode with us now and we haven't even gone through the integration. And so on a whole, the level one balance sheet and the client units volumes have been very stable. I'll let Michele answer the other part of the question.
Michele Kawiecki: Yes, good morning, Terry. So we had estimated 30% cost savings on the deal and we're actually really pleased with our ability to take that cost out. So currently, we are carrying probably about $2.7 million per quarter in cost relative to integration team members, their core processing expense that we think will go away come Q4. But like I said, we feel like once that cost goes away, we get to Q4, we will have achieved our target of the 30% cost savings.
Mark Hardwick: Thank you, Terry. This is Mark. I do think it's interesting remote work has changed the operating environment for really all banks. And from an M&A perspective, we've seen a pretty dramatic change like Stewart mentioned. I think we have at least 30, it's not 32 or 33 people that have taken open positions with First Merchants, because they have the ability to work remote. And that normally would have left the company for cost savings reasons and going to work somewhere else in the geography. Because we needed those positions to be in our centralized headquarters. So its feels exciting to be able to retain an extra 30-plus people that are talented, seasoned, mostly administrative bankers that can join our team and work remotely. It's one of the nice attributes of how the work environment has changed.
Terry McEvoy: I appreciate the color there. Thank you. Maybe one last question for John, Mark, the sponsor finance portfolio it was up in the quarter. I guess what are you doing and what are you seeing in that portfolio today?
John Martin: Yeah. So the portfolio itself kind of ebbs and flows, as we have portfolio companies to individual sponsors that get refinanced out or the fund closes. And as they do the names in that start to pay out and/or otherwise liquidate, wind up reducing balances likewise in the quarter. We continue to see strong -- we saw strong growth from sponsors as well as adding sponsors out. Let Steve add to that comment from a marketing and sales perspective.
Mike Stewart: Yeah. Well, ending from a credit point of view, the 61 portfolio companies in that book and we track various credit metrics and the portfolio from leverage profile, from fixed charge coverage ratio, from enterprise value has never been better. The metrics are as strong as they've been in the past 8 quarters.
Operator: Thank you. Our next question or comment comes from the line of Damon DelMonte from KBW. Mr. DelMonte, your line is open.
Damon DelMonte: Thanks. Good morning, everyone. Hope everyone is doing well today. So turning question is one that -- good morning, Michele. Just wanted to circle back on the expense outlook, you guys have identified $12.5 million of merger charges and you had alluded to 10 of it being kind of one-time in nature. With the other 2.5 million, what you just mentioned about like integration costs in members that are kind of still on the books for the next couple of quarters? Is that what that difference was?
Michele Kawiecki: Yes, that's correct.
Damon DelMonte: Fantastic.
John Martin: Next one quarter, really.
Damon DelMonte: Next one quarter, so if can you kind of give us a little direction as to how the cadence of expenses will go over the next few quarters as you complete the integration and those costs roll off? Do you think you kind of come down a little bit in the third quarter and then maybe bottom out in the fourth quarter or any insight would be great?
Michele Kawiecki: Sure. Also where you know that $10 million and one-time charges it will -- next quarter that will bring you down to an average of $87 million. And then when we do our integration, obviously the other $2.7 million will come away in the fourth quarter. So you really kind of looking at just a static run rate of about $84 million that would be the normalized level. I do think that we could see some wage growth through the end of this year and so that we may end of the year a little bit up from that, but hopefully that gives you kind of the color of where you see us trending through the rest of the year.
Damon DelMonte: Got it. Okay, that's helpful. Thank you. And then, how about on the fee income side of things. Do you think that this quarter's core level is a good run rate? Are you seeing any additional pressures from any of the fee sources?
Michele Kawiecki: I think this quarter is a good run rate. Looking at like mortgage loan sale gains, I feel like that's kind of a low point. We're retaining quite a bit of the portfolio and so I feel like that should be pretty stable assuming buyer activity doesn't slow significantly. And so I think this quarter is a good run rate to use for combined Level One, First Merchants.
Damon DelMonte: Okay, great. And then just lastly, I think you guys booked about $3.2 million in fair value accretion in this quarter. Do you expect something in that $3 million range over the next few quarters until some of those loans that to burn off the books?
Michele Kawiecki: Yes, I do.
Operator: Thank you. Our next question or comment comes from the line of Ignacio Gonzalez from Piper Sandler. Mr. Gonzalez, your line is open.
Ignacio Gonzalez: Hi, good morning, everyone. My questions were asked, but thanks for the color.
Operator: Thank you. Our next question or comment comes from the line of Brian Martin from Janney Company. Mr. Martin, your line is open.
Brian Martin: Hi, good morning guys. Thanks for taking the question. Just kind of wanted to get a sense, Michele. Just I appreciate the color on the margin outlook and just expectations of the beta. But just as you kind of go forward, can you just remind us now with the consolidation with Level One. Just kind of what's repricing? I think you said most of the stuff is burnt through the floors, but just kind of what's variable rate today that is moving right away that as we think about these next couple of rate increases just kind of how that plays in? And then the deposit beta other -- is your assumption on the deposit betas, are they in the 35% does that start -- is it 35% with the next hike or is it kind of move up to that level as you get between now and year-end in your assumptions?
Michele Kawiecki: Okay. Yes, so let me start with the loans and so $7.4 billion of our loans are 65% are variable rate and $5 billion of that reprices in one month, $6 billion reprices in three months. And really primarily, the rest of that reprices over the course of 12 months. And so a variable -- a very high percentage of variable-rate loans and so that gives us some great lift. On the deposit betas, the 35% is through the cycle and we do think that it will start off a little bit slower and then pick-up through more towards the end of the year and in the first quarter of '23.
Brian Martin: Got you. Okay, that's helpful. And then how about just -- and then maybe one for John, just as far as the credit quality this sounds like you guys are monitoring it and what not in -- I guess but just worthy ACL is that today following the acquisition here and the health of the portfolio. I mean, how do we think about that over the near-term, especially given how I guess it sounds like things are still very, very strong?
John Martin: Yes. So I think Damon, the way I'd answer the question is -- we're continuing to review the book and the way the allowance, the ACL works for us is that, I'm putting individual specific reserves on loans and from that perspective those specific reserves are relatively modest amount of the total allowance. So I'm -- and so, I think where we're at, we're going to probably continue to trend down. And we'll start to see the allowance relieve, assuming market conditions to continue to remain stable and perform at the levels they are right now. Sorry Brian, I'm continue to call you Damon there.
Brian Martin: That's okay, I got it. No worries. And then, okay, I appreciate that, John. And maybe just the last one for me was just as far as the -- you guys mentioned some further branch closing, some this quarter, some next quarter. I guess is this -- is there more of this to come or is this kind of the bulk of what you guys are expecting to do on the branch closure for not only a handful, I think you said two or three in the next quarter, third quarter. But just how you're thinking about that going forward?
John Martin: Yes. We did 17 consolidations last year and quite a bit of fewer this year. Merchants continuing to evaluate our highest-performing locations for those that are left at lot on the lower end of the performance spectrum. In terms of monitoring balances and even probably more importantly just transaction levels. So where we see customers moving to our digital platforms and kind of requiring the branch locations or physical locations in a lesser level, we're assessing opportunities. So we don't have anywhere near the number like 17 we did a year ago. But we are going to continue to just look for opportunities to be efficient and redeploy capital into digital channels and into people.
Brian Martin: Yes, it makes sense. I appreciate it, Mark. So, okay, thank you for taking the questions and nice quarter you guys, congrats on the deal and getting closed and how things are going.
John Martin: Thanks, Brian.
Mike Stewart: Thanks, Brian.
Operator: Thank you. I'm showing no additional questions in the queue at this time, I'd like to turn the conference back over to Mr. Hardwick and management for any closing remarks.
Mark Hardwick: Thank you, Howard. Thanks for the time everyone today. When I think about our quarter and the remainder of 2022, I'm enthusiastic. I think we have a great story, we have -- we always talk about our ability to grow organically in the mid to high single digits. Obviously, we exceeded that for this quarter and I think our organic growth story is really strengthened by the addition of Level One and the Detroit MSA that we now serve in a more robust way with both location, south of those city and in the city and also on the north and west sides. We're an efficient organization, we've always had a strong efficiency ratio relative to peer and even though we're investing in the company through people and technology in a way that I'm that I'm proud of, that I think allows us to have a long-term strategy and long-term success. The operating leverage as it comes out of the acquisitions and streamlining the branch operation, et cetera, just allow us to continue to produce those kind of results. Our confidence level is incredibly high and we think given where the price to earnings multiple is right now that there is great upside. So it's an interesting time, the world has some uncertainty facing it, but I think First Merchants is incredibly well positioned to weather whatever comes at us and to come out on the back end of that, as one of the strongest banks in the United States. So we're going to keep delivering and keep working hard for all of you. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may now disconnect. Everyone have a wonderful day.